Operator: Greetings and welcome to the IDEX Corporation’s Second Quarter 2014 Earnings Conference Call. At this time, all of the participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Michael Yates, Vice President and Chief Accounting Officer. Thank you. You may now begin.
Michael J.Yates: Thank you, Jessie. Good morning everyone. This is Mike Yates, Vice President and Chief Accounting Officer for IDEX Corporation. Thank you for joining us for our discussion of the IDEX’s second quarter financial highlights. Last night, we issued a press release outlining our Company’s financial and operating performance for the three-month period ending June 30, 2014. The press release, along with the presentation slides to be used today during today’s webcast can be accessed on our Company’s website at www.idexcorp.com. Joining me today is Andy Silvernail, our Chairman and CEO and Heath Mitts, our Chief Financial Officer. The format for our call today is as follows: we will begin with Andy providing an update on the corporation strategic priorities and then we will review the second quarter financial results. He will then walk you through the operating performance within each of our segments. And finally we will wrap up with an outlook for the third quarter and full year 2014. Following our prepared remarks, we’ll then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay, beginning approximately two hours after the call concludes, by dialing the toll-free number 877-660-6853 and entering conference ID 13583593 or you may simply log on to our Company’s homepage for the webcast replay. As we begin, a brief reminder: This call may contain certain forward-looking statements that are subject to the Safe Harbor language in today’s press release and in IDEX’s filings with the Securities and Exchange Commission. With that I’ll turn our call over to our Chairman and Chief Executive Officer Andy Silvernail.
Andrew K. Silvernail: Thanks Mike. And I appreciate everybody joining us here this morning for our second quarter call and results. Before I get into the result, as Mike said I’m just going to take a minute and talk about how are doing our strategic priorities that we’ve outlined here throughout this year and we’re really going to talk about the three things in matter to us most. Number one is driving organic growth around our core customers in our core products, focused execution around that constituency and also very discipline capital deployment. So first, let me talk about organic growth, really nice story here in the first half of the year. We had 7% organic order growth in the second quarter and 4% organic sales growth and for the first half of the year were up about 6% year-on-year from an organic growth at top line. And I think the teams have done a very nice job ability momentum, as we look at the top line capabilities. There are really three things that are driving our improvement organic growth. The first one is very deep market customer and product segmentation, we were driving that that the most attractive growth opportunities and the most attractive profit-pools. The second is the deep product line strategy and what we were really looking here product line-by-product line how do we drive a relative competitive advantage and focus on the applications where we can develop the unique solution for a difficult customer problem. And then finally, it’s about – it’s about allocation, so smart people capital and operating expense allocation around those critical priorities in the most attractive opportunities. And internally and externally we’ve talked a lot about the idea of making our own walk-in, and that’s how this is about – this is about moving resources and people to the things where we think we can differentiate the most, and what we can drive organic growth. The bottom line as I think that the markets continue to be challenge out there in the world and we’re not going to wait for some external tailwind. In the second, I’m going to take some time and talk about some of the smart investments, so I think we’re making this driving some other results, but I think of note you know we spent $23 million of capital this year through one half of the year, where last year we spent $32 million for the whole year. And it is driving results and we’re raising our overall growth estimate we believe we’ll commented about 5% to 6% in organic growth this year, and we’re also raising our EPS estimate and we believe, we’ll finish in 350 range to 355 range. Our second priority is really executing near around these core customers and core products. And for me execution is a really about building a culture and it’s building a culture of trust where you are making and keeping promises for your customers, for your shareholders and also for your people internally. And that in and of itself is the first pillar to organic growth and we talk internally about earning the right to grow and when we drive down lead times we improved quality, we improved overall cost position, we put ourselves in a nice competitive situation and in a nice situation to continue to expand profitability. And in the second quarter you saw operating flow – through operating profit flow through a 44% that was up from the 39% flow through in the first quarter and was also 130 basis point improvement for the year. So I think a real nice example by executing on that strategy. Our final strategic priority is very distilled to capital deployment, and I spoke a moment ago about first choice of capital deployment is about driving organic growth, because returns are outstanding, the hit rate are very and I just wanted to take a second and just talk about some example of where we are making some investment at last year, this year and how they are paying off. One of those examples is in our Viking a business out in Cedar Falls, Iowa. They’ve done a very, very nice job of making investment R&D capabilities for new products and in adjacent markets and we are starting to see some benefits of that now and we think we’ll see some very nice benefits in 2015 and beyond. We’ve also made tooling and equipment purchases across the business, but I think two that are particularly interesting one was for dispensing business where we made investment in laser automated sheet metal cutters and well that may mundane, what it does is it tremendously increases efficiency for that business, it allows us to meet some of the exceptional demand that’s been out there and it also really drives down lead time and again kind of back to that story of execution it allows us to do that. In our Scientific Fluidics business, we've just recently expanded our 3D printing capability around rapid prototyping and so as you know in this business so much of it is about getting on new programs that will launch two or three years from and there is a critical pieces of that new product cycles where you have to turn around prototypes very, very quickly and we have some customer, because of their exceptional growth rates who need rapid prototyping and we’re able to take that from weeks to literally days with 3D printing capabilities. We've also continue to make investment in our Fire Suppression business, one of the great success story this year and I’ll talk about it in a minute is trailer business and we have made R&D capabilities, production capabilities and technology investments that paid have off. And finally, we continue to invest commercially in the Middle East and Latin America and we are expanding our commercial operations and we’re seeing benefit throughout the business. So I think all of those investments, they put us in a position to grow now and to grow into the future and then we kind of get into our other capital choices. As an example, we took our dividend up in the first quarter 22% to $0.20 a share; one will continue to pay out about 30% of our net income to dividends. We’ve also continued our share repurchase plan, we should net it out at about 1% this year from those efforts and we continue to pursue M&A opportunities. It’s a very active environment out there, I think as you all know valuation remain pretty high, but we've maintained a very solid funnel and I would say we’ve got five or six things at year end, pretty a late stage discussion that we’re having, but it’s a unique environment, because its definitely sellers market and you got to be smart of a high deployed your capital in M&A. We did close on the Aegis acquisition here in April, and this is really on our chemical and petrochemical industries in the Gulf of Mexico. Aegis is based Baton Rouge and that we’ve already started investments to expand the business we’re going to open up our facility in Houston and really it’s about being close to your customers for a very quick turnarounds in product development and in excellence in service and supply. Let me just take a second now and talk about what we’re seeing around the world now get into the specific results for the quarter. A few observations that we had North America, demand continues to be positive especially in our short-cycle industrial businesses and that we haven’t seen any indication of a slowdown in the U.S. so we feel about the second half. China, the word we’re using is uninspiring it’s been also here for over a year and so we still growing, but it is much slower than we would want and we think about those we’re going to continue through the second half of the year. However, we need to be in that region it’s an important piece of business force we’re going to live with the volatility and we’re going to take continue to invest. Europe is a good trend still it continues to be positive particularly in Western Europe and the Northern part of the region that said we have start to see some impact from what some of the things that are going on in the Eastern part of the continent and we’re mindful that. We don’t have a lot of business in Russia or that goes into the Ukraine but we’re mindful about the business that we do have. And we’re also mindful about how that could cause issue throughout the rest of the regions. So overall, I feel good about the quarter, I think the outlook is stable in a few pockets of concern and I think we’ve got really nice momentum going into the second half of the year. All right, let me switch gears here and talk about the second quarter results on Slide 4, as I said before organic orders were up 7% and we build about $5 million of backlog coming into the third quarter. Revenue was at $547 million or 5% and or 4% organically, operating margins were at 20.5% and 130 basis points expansion over the last year and we saw the improvements really coming from productivity and our ability to leverage some volume, but a lot of it is just coming from complexity reduction, waste elimination in our ability to execute for our customers. Free cash flow that was down from last year, but we still delivered over 100% free cash flow conversion, a couple of things that we’re – that I think of note. Number one, as I mentioned before we have increased our overall organic investments here in the first half of the year. And it was some timing of payments in terms of tax and pension that fell in different point of last year. So frankly, it was a pretty difficult comp here in the second quarter. As I said before EPS was $0.88, up 16% from last year and that were pretty happy with the second quarter results and how we finish the first half of the year. All right, let me turn to the segment discussion I want Slide 5 and we’ll start with Fluid & Metering. So the second quarter is really highlighted by 3% organic growth – order growth contributing to a pretty healthy backlog as we look into the third quarter. The disappointment was organic sales growth it was down 2% in the quarter. Although, we did, we knew some pretty difficult comps coming into it specifically in the chemical and the energy businesses, where we had some pretty large projects last year. And we had some demand volatility in that the – as you look at the second quarter about this year. The chemical projects that are down in 2014 as some business is get launched and get standard, we see picking backup in 2015, so we feel comfortable with that. And as I did mentioned before, I was talking about eastern part Europe. But as you all know there has been some volatility here, a lot of volatility in the Middle East and that has impacted some businesses going into a rack and some of that business has been pushed we think into the second quarter. So, what we did have a weak second quarter in terms of our sales growth, we feel very good about the second half and let me talk about that for a second. Number one, we’ve had a pretty solid order growth here year-over-year. We know we had a difficult comparison in the second quarter those comparisons get easier, as we move into the back half of the year for SMP, in the sales funnel is pretty solid. So, as we look at the back half of the year, we feel good about delivering organic growth for the back half, but also for the year as a whole.
 – : So, you can kind of pick any level and they’ve does done a nice job of appoint those levels. The Ag business, this is Banjo and we call it Ag Banjo they kind of hand in hand. The reality is that business is about 30% industrial and about 40% of the overall business is closing for the aftermarket that business has continue to hold up as we go through the second quarter. We do expect some level of slowdown in the back half in 2015, but they’re still doing a nice job of executing. We are very mindful of our farm incomes have gone and what some of the large customers are saying to build into our plans and we feel comfortable that will be successful in that business. Let me turn now to Slide 6 and we will talk about Health & Science. We had pretty solid second quarter with organic order growth of 5%, we had 1% organic sales growth and we improved margins by about 40 basis points over the last year. We’ve had consecutive quarters of order growth and we feel again, just like the SMT feel real good about what the second half looks like and we think the second half will exceed the first half, in terms of growth rates. One of the – there are really two highlights in the second quarter for HST, our industrial businesses and then optics and photonics. And let me talk about optics and photonics first. Very nice order rebound for that business, life sciences, industrial and semiconductor markets were all up, very nice profitability expansion, cost side actions that we've taken are really now turning into some of the profit expansion that we expected and the team there again is doing a really nice job of executing. For the balance of the year, we think the markets look good and we continue to see a nice performance out of that team. In our industrial businesses it’s really a story about new products in entrance into new markets and our Micropump and Gast brands have done a very nice job on both of those fronts and I think for products in particular they’re doing a great job of penetrating markets and taking share. I guess one of the lowlights for the quarter, Scientific Fluidics after 18-months of really strong growth, we did see that slow here in the second quarter, there had been a very strong new product cycle and growth cycle out of that business and I think some inventory got built up and we’re starting to see some headwinds from that. We've poked very hard to make sure that we haven’t lost share and I’m very confident that we have not, and as I look at the new product funnel, our customers launching, what they are launching and where we have content-per-platform, we feel very good about that business. So I think it’s a short-term road bump, I do think we’ll have some headwinds for a quarter or two, working through that but overall that business continuous to be a great business. Finally on our material process, as you all know that’s a little bit longer cycle, we've had really nice order growth here for about a year and that’s starting to turn into sales growth and we’ll certainly see that in the back half of the year. All right, I’m on my final segment diversified and that’s on Slide 7. Outstanding performance, orders and sales were up 17% and Dispensing and BAND-IT led the way, but also as I’ll talk about in a second rescue had a terrific order quarter. Operating margins improved by 570 basis points, a lot of volume leverage and very, very good productivity and also an easy comp, we had a charge last year for facility disposal that we of course didn’t have this year, but either way a great profit execution. The dispensing team they’ve done a very nice job of filling their backlog, as you all know, we’re coming off of a very large project that we shift in the first quarter, but they continue to grow across the globe, North America and Europe are performing well, and even turmoil in Asia as you know we launched that X-Smart product and that’s been real winner for us in the emerging markets. And we think that are going continue to take share and they’re going to have some difficult comps are being go into next year, but at the same time they’re well-positioned. I mentioned the Fire Suppression group and the trailers that’s really for the power industry after the nuclear industry and they’re growing that business nicely, but also projects towards in China they’ve done a nice job of moving resources from the western part of the world to the eastern part of the world and they started to see some project orders in that business and we’re going to continue to invest there by the way and really leverage our rescue platform for that business. Rescue as I mentioned they had a very strong order growth here in third quarter – there was pretty week last couple of quarters for sales growth for rescue that picked up from an order perspective in the second quarter and that will play itself through in the second half of the year. Our Band-It they are just continued to execute and get it done. If you look across transportation energy or cable management our order growth has been strong and we expect that to payoff here into the second half of the year. So the teams done a wonderful job, Eric Ashleman who leads that businesses has really done terrific job for us and we are seeing nice profitable growth from diversified. All right, let’s move to the Q3 and to full-year 2014 guidance. I’m going to start from the top of the Page and it’s on Slide 8 and we’ll just work our way down. We think EPS for the third quarter will be $0.83 to $0.85 and operating margin will be just about 20% and tax rate should come in around 30% for the quarter. For the full year as I mentioned before work we’ve increased our guidance we are now guiding 350 or 355 and we think organic for sales for the year will be 5% to 6%. Full year operating margin should exceed 20% and then let me just give you a few other model and I don’t see that to build in. We think tax rate is going to be 29% to 29.5% for the full-year. CapEx will be up we think it will be about $45 million to $50 million for the year and free cash flow will still come in and we think it at 120% of net income. As always any impact of acquisitions isn’t affected into the guidance, but otherwise let me stop here and Jessie, I will turn it over to you. Let’s open it for questions.
 : So, you can kind of pick any level and they’ve does done a nice job of appoint those levels. The Ag business, this is Banjo and we call it Ag Banjo they kind of hand in hand. The reality is that business is about 30% industrial and about 40% of the overall business is closing for the aftermarket that business has continue to hold up as we go through the second quarter. We do expect some level of slowdown in the back half in 2015, but they’re still doing a nice job of executing. We are very mindful of our farm incomes have gone and what some of the large customers are saying to build into our plans and we feel comfortable that will be successful in that business. Let me turn now to Slide 6 and we will talk about Health & Science. We had pretty solid second quarter with organic order growth of 5%, we had 1% organic sales growth and we improved margins by about 40 basis points over the last year. We’ve had consecutive quarters of order growth and we feel again, just like the SMT feel real good about what the second half looks like and we think the second half will exceed the first half, in terms of growth rates. One of the – there are really two highlights in the second quarter for HST, our industrial businesses and then optics and photonics. And let me talk about optics and photonics first. Very nice order rebound for that business, life sciences, industrial and semiconductor markets were all up, very nice profitability expansion, cost side actions that we've taken are really now turning into some of the profit expansion that we expected and the team there again is doing a really nice job of executing. For the balance of the year, we think the markets look good and we continue to see a nice performance out of that team. In our industrial businesses it’s really a story about new products in entrance into new markets and our Micropump and Gast brands have done a very nice job on both of those fronts and I think for products in particular they’re doing a great job of penetrating markets and taking share. I guess one of the lowlights for the quarter, Scientific Fluidics after 18-months of really strong growth, we did see that slow here in the second quarter, there had been a very strong new product cycle and growth cycle out of that business and I think some inventory got built up and we’re starting to see some headwinds from that. We've poked very hard to make sure that we haven’t lost share and I’m very confident that we have not, and as I look at the new product funnel, our customers launching, what they are launching and where we have content-per-platform, we feel very good about that business. So I think it’s a short-term road bump, I do think we’ll have some headwinds for a quarter or two, working through that but overall that business continuous to be a great business. Finally on our material process, as you all know that’s a little bit longer cycle, we've had really nice order growth here for about a year and that’s starting to turn into sales growth and we’ll certainly see that in the back half of the year. All right, I’m on my final segment diversified and that’s on Slide 7. Outstanding performance, orders and sales were up 17% and Dispensing and BAND-IT led the way, but also as I’ll talk about in a second rescue had a terrific order quarter. Operating margins improved by 570 basis points, a lot of volume leverage and very, very good productivity and also an easy comp, we had a charge last year for facility disposal that we of course didn’t have this year, but either way a great profit execution. The dispensing team they’ve done a very nice job of filling their backlog, as you all know, we’re coming off of a very large project that we shift in the first quarter, but they continue to grow across the globe, North America and Europe are performing well, and even turmoil in Asia as you know we launched that X-Smart product and that’s been real winner for us in the emerging markets. And we think that are going continue to take share and they’re going to have some difficult comps are being go into next year, but at the same time they’re well-positioned. I mentioned the Fire Suppression group and the trailers that’s really for the power industry after the nuclear industry and they’re growing that business nicely, but also projects towards in China they’ve done a nice job of moving resources from the western part of the world to the eastern part of the world and they started to see some project orders in that business and we’re going to continue to invest there by the way and really leverage our rescue platform for that business. Rescue as I mentioned they had a very strong order growth here in third quarter – there was pretty week last couple of quarters for sales growth for rescue that picked up from an order perspective in the second quarter and that will play itself through in the second half of the year. Our Band-It they are just continued to execute and get it done. If you look across transportation energy or cable management our order growth has been strong and we expect that to payoff here into the second half of the year. So the teams done a wonderful job, Eric Ashleman who leads that businesses has really done terrific job for us and we are seeing nice profitable growth from diversified. All right, let’s move to the Q3 and to full-year 2014 guidance. I’m going to start from the top of the Page and it’s on Slide 8 and we’ll just work our way down. We think EPS for the third quarter will be $0.83 to $0.85 and operating margin will be just about 20% and tax rate should come in around 30% for the quarter. For the full year as I mentioned before work we’ve increased our guidance we are now guiding 350 or 355 and we think organic for sales for the year will be 5% to 6%. Full year operating margin should exceed 20% and then let me just give you a few other model and I don’t see that to build in. We think tax rate is going to be 29% to 29.5% for the full-year. CapEx will be up we think it will be about $45 million to $50 million for the year and free cash flow will still come in and we think it at 120% of net income. As always any impact of acquisitions isn’t affected into the guidance, but otherwise let me stop here and Jessie, I will turn it over to you. Let’s open it for questions.
 : So, you can kind of pick any level and they’ve does done a nice job of appoint those levels. The Ag business, this is Banjo and we call it Ag Banjo they kind of hand in hand. The reality is that business is about 30% industrial and about 40% of the overall business is closing for the aftermarket that business has continue to hold up as we go through the second quarter. We do expect some level of slowdown in the back half in 2015, but they’re still doing a nice job of executing. We are very mindful of our farm incomes have gone and what some of the large customers are saying to build into our plans and we feel comfortable that will be successful in that business. Let me turn now to Slide 6 and we will talk about Health & Science. We had pretty solid second quarter with organic order growth of 5%, we had 1% organic sales growth and we improved margins by about 40 basis points over the last year. We’ve had consecutive quarters of order growth and we feel again, just like the SMT feel real good about what the second half looks like and we think the second half will exceed the first half, in terms of growth rates. One of the – there are really two highlights in the second quarter for HST, our industrial businesses and then optics and photonics. And let me talk about optics and photonics first. Very nice order rebound for that business, life sciences, industrial and semiconductor markets were all up, very nice profitability expansion, cost side actions that we've taken are really now turning into some of the profit expansion that we expected and the team there again is doing a really nice job of executing. For the balance of the year, we think the markets look good and we continue to see a nice performance out of that team. In our industrial businesses it’s really a story about new products in entrance into new markets and our Micropump and Gast brands have done a very nice job on both of those fronts and I think for products in particular they’re doing a great job of penetrating markets and taking share. I guess one of the lowlights for the quarter, Scientific Fluidics after 18-months of really strong growth, we did see that slow here in the second quarter, there had been a very strong new product cycle and growth cycle out of that business and I think some inventory got built up and we’re starting to see some headwinds from that. We've poked very hard to make sure that we haven’t lost share and I’m very confident that we have not, and as I look at the new product funnel, our customers launching, what they are launching and where we have content-per-platform, we feel very good about that business. So I think it’s a short-term road bump, I do think we’ll have some headwinds for a quarter or two, working through that but overall that business continuous to be a great business. Finally on our material process, as you all know that’s a little bit longer cycle, we've had really nice order growth here for about a year and that’s starting to turn into sales growth and we’ll certainly see that in the back half of the year. All right, I’m on my final segment diversified and that’s on Slide 7. Outstanding performance, orders and sales were up 17% and Dispensing and BAND-IT led the way, but also as I’ll talk about in a second rescue had a terrific order quarter. Operating margins improved by 570 basis points, a lot of volume leverage and very, very good productivity and also an easy comp, we had a charge last year for facility disposal that we of course didn’t have this year, but either way a great profit execution. The dispensing team they’ve done a very nice job of filling their backlog, as you all know, we’re coming off of a very large project that we shift in the first quarter, but they continue to grow across the globe, North America and Europe are performing well, and even turmoil in Asia as you know we launched that X-Smart product and that’s been real winner for us in the emerging markets. And we think that are going continue to take share and they’re going to have some difficult comps are being go into next year, but at the same time they’re well-positioned. I mentioned the Fire Suppression group and the trailers that’s really for the power industry after the nuclear industry and they’re growing that business nicely, but also projects towards in China they’ve done a nice job of moving resources from the western part of the world to the eastern part of the world and they started to see some project orders in that business and we’re going to continue to invest there by the way and really leverage our rescue platform for that business. Rescue as I mentioned they had a very strong order growth here in third quarter – there was pretty week last couple of quarters for sales growth for rescue that picked up from an order perspective in the second quarter and that will play itself through in the second half of the year. Our Band-It they are just continued to execute and get it done. If you look across transportation energy or cable management our order growth has been strong and we expect that to payoff here into the second half of the year. So the teams done a wonderful job, Eric Ashleman who leads that businesses has really done terrific job for us and we are seeing nice profitable growth from diversified. All right, let’s move to the Q3 and to full-year 2014 guidance. I’m going to start from the top of the Page and it’s on Slide 8 and we’ll just work our way down. We think EPS for the third quarter will be $0.83 to $0.85 and operating margin will be just about 20% and tax rate should come in around 30% for the quarter. For the full year as I mentioned before work we’ve increased our guidance we are now guiding 350 or 355 and we think organic for sales for the year will be 5% to 6%. Full year operating margin should exceed 20% and then let me just give you a few other model and I don’t see that to build in. We think tax rate is going to be 29% to 29.5% for the full-year. CapEx will be up we think it will be about $45 million to $50 million for the year and free cash flow will still come in and we think it at 120% of net income. As always any impact of acquisitions isn’t affected into the guidance, but otherwise let me stop here and Jessie, I will turn it over to you. Let’s open it for questions.
Operator: Thank you, ladies and gentlemen at this time will be conducting a question-and-answer session. (Operator Instructions) Our first question is coming from the line of Allison Poliniak with Wells Fargo. Please proceed with your question.
Allison A. Poliniak-Cusic – Wells Fargo Securities, LLC: Hi, guys, good morning.
Andrew K. Silvernail: Good morning, Allison.
Allison A. Poliniak-Cusic – Wells Fargo Securities, LLC: You’ve talked about a lot the organic investment you know clearly gaining attraction and its sounds like even when you talk about what are you are growing well ahead of the end markets there. Is there any maybe to how to do this to sort of say your growth is – based on your ownerships you are growing X time as your end market, just globally, is there a way to talk about that yet?
Andrew K. Silvernail: Yes, I think so, I think if were to dissect it, I’m going to say that our end markets are probably in the 2% to 3% growth rate and so we believe at a goal of being 200 to 300 basis points above end market growth and I think we are there to slightly a little bit better than that this years, but some of it is really project driven and so I want to mindful of that and as we look at 2015, if you look at some of the big things that we are going to comp against, I wouldn’t bake that in. right, I wouldn’t bake in we are going to 300 or 400 basis points above. I think that’s harder to do and we will face those comps next year.
Allison A. Poliniak-Cusic – Wells Fargo Securities, LLC: But I guess that you’re getting attraction on this organic investment and your fees are called out to progressing at this point.
Andrew K. Silvernail: I really am, I think the new products that we have been investing in, we’re not getting attraction yet from that. Those cycles are longer, I mean when I say, I’m thinking back kind of 18-mnths when we started really moving a bunch of cash over that’s a little bit slower aside from X-Smart. X-Smart is a big one that’s churned quickly and also we've had some investments in our water business that the new products have really grained a lot of traction. It’s a lot about market penetration and really over serving our core customers where we've driven lead times down from core customers, we've improved quality and service levels. I think we’ll start to get more benefit of new products as we get into 2015 and beyond.
Allison A. Poliniak-Cusic – Wells Fargo Securities, LLC: Great and I guess just looking we’re half way through the year, compared to where we were at the end of last year. Any thoughts, surprises, changes that you have noticed and we’re mid-way through?
Andrew K. Silvernail: Not really, I think the – If I were going to kind of balance it off, I would say the core global economy is a little bit better than we had modeled going into the year, I think that’s true. At the same time, I think what I call just the volatility issues that are happening around the world and I’ll break those into three things, I’ll break it into China, and I think the capital volatility in China is even higher than we expected it to be, in terms of kind of investment quarter-to-quarter and I think that’s going to continue to swing. And what happening, you know we are not politicians here and we are not economists, but we are really mindful of what's happening in the Middle East and in Eastern Europe, more than anything else about what it can do to kind of the economies around the world, not so much that we have huge chunks of business, although we do have some and we had a pretty good sized order for the middle east that got pushed and we don’t know if it will happen this or not just given what's going on in Iraq as am example and while we don’t have a lot of business in Russia, Ukraine, there is some and we did loose some business in Russia that we expected to get – the inability to ship it at this point and then really, kind of how it could affect the rest of the world. That is how I would even it out.
Allison A. Poliniak-Cusic – Wells Fargo Securities, LLC: Great, thank you.
Andrew K. Silvernail: Thanks.
Operator: Thank you. The next question is coming from the line of Nathan Jones with Stifel. Please proceed with your question.
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: Good morning, Andy, Heath, Mike.
Andrew K. Silvernail: How are you sir?
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: Well, thank you. A couple of questions. I think I will start on FSD. If we look at that sequentially from the first quarter to the second quarter, you had the huge dispensing order ship in the first quarter. And you're almost flat in the second quarter. Can you talk about – and I think that was surprisingly strong, from my point of view. 
Andrew K. Silvernail: Yes.
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: Can you talk about where that came from, how unexpected it was from your end, and kind of what a sustainable level of revenue in that business is or in those businesses are?
Andrew K. Silvernail: Yes, that was a pretty special quarter there’s no doubt about it. And what I mean by that is the Dispensing business was marginally stronger than we thought it was going to be, but BAND-IT was really strong and the fire business was the trailer business in fire. We had a couple of customers who frankly came in early we thought things are going to ship in the third quarter and they ask from in the second. And that’s trailer business has been big for us. And we think it’s going to continue to be a good business, but it’s kind of going into a little bit the boom cycle here, where you’ve seen a lot of the nuclear facilities around the world putting in these redundant systems. And this is that – this is really from for what happened in Fukushima back – was 2.5 years ago now, 3 years ago and that’s what happen. So I would say that it’s really materially better performance at fire, incrementally better performance at dispensing and strong core performance at advantage. So it was stronger than we thought it was going to be, no doubt.
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: Is the strength at BAND-IT from them continuing to find new applications, or what is driving the incremental strength at BAND-IT right now?
Andrew K. Silvernail: It is that, but I’d also say there are two things that are helping a lot. Number one is transportation side; we got a number of platforms a couple of years ago. And as you know as you look at the transportation business, it’s a lot like frankly our Scientific Fluidics business, where platforms are develop years ahead they launch and then they ramp and what we are seeing now as you’re seeing some of that launch in ramp in that number of those pieces of business that we won two years, three years ago frankly. And so that’s been strong, but also the energy business specifically the downhole business and cable management those have all been strong for us. 
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: And one more, just back on FMT: you called out energy and chemical markets having experienced demand volatility due to large project delays. Can you talk about where you think we are in that cycle? Because you're not the only ones obviously talking about large project delays and when you think, you might start to see those releases.
Andrew K. Silvernail: Yes. Let me break those into two very different things, because I think the issues are 100% -- 108 degrees from which other chemical is really about, coming of the strength of a number of very large projects specifically in the Middle East that are now in what I’ll call ramp mode. Right, so those programs are coming up and they’re coming into production and so you’re seeing the projects there coming off and that’s really specific to our rector business. So if you look at year-over-year if you break our chemical business and it’s mostly Viking and rector just from our brand perspective. Viking business is actually solid; the rector business is more reliant on chemical projects specifically in the Middle East and a little bit China. I would say that being said if you look at kind of what’s coming through the pipeline and no – attended, and you look at the Gulf Coast that’s going to start to ramping up big time in next year in 2015. I think that you will bottom out on the project level in the Middle East and you’ll start to see some slow ramp backup, coming in. So I think you’re going to see a really solid 2015 and an improving 2016 really driven by the U.S. investment in chemical. So let me stop there, did I answer your question on chemical?
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: Yes.
Andrew K. Silvernail: Okay. On the energy side this is more – we had a number of pretty large projects that were ready for shipment in the Middle East that have got pushed. And now when you say as a push is it going to fall into the second half of the year and should we take up a second half? Honestly don’t know, because these are chunks of business that we have, but it’s a matter of the customer’s ability to take them, and giving what’s going on there, I think that’s the bigger issue. If you actually look at the base chemical business or the base energy business, really solid so the booking term business not concerned at all.
Nathan H. Jones – Stifel, Nicolaus & Co., Inc.: That’s very helpful. Thanks very much.
Andrew K. Silvernail: Yes.
Operator: Thank you. The next is coming from the line of Matt McConnell with City Research. Please proceed with your question.
Matthew W. McConnell – Citi Investment Research.: Thank you, good morning guys.
Andrew K. Silvernail: Good morning Matt.
Matthew W. McConnell – Citi Investment Research.: There certainly see to be more happening on the M&A side, so I wonder could you give us a sense of whether that’s a function of improvement or changes in the environment first maybe your development of IDEX’s M&A function and really just maybe give us a sense of where you’ve added resources over the past year or so?
Andrew K. Silvernail: Sure. Sure, so I think – let met talk about the environment just generally, so if you just look at the number of books that come into our office, you see that radically swing from season-to-season, year-to-year and its as heavy as I’ve seen it in the last five or six years. So you are seeing a lot of people bringing stuff to market. And frankly, you're seeing a lot of marginal business being brought to market which really kind of talk to the strength of a seller’s market out there and so that is up very substantially and it’s pretty hard for us to win an auction, lets just be honest right and its because we tend to be much more discipline in our overall price where we will go on price and we tend to be pretty detailed when it come to diligences right and so we’re not willing to open up to a lot of risk and so we tend to win auction that are right in our sweet spot that’s because we really bring synergy to it and we can create a lot of values. So that part of the business is way up. Starting about 18-months ago maybe a little bit longer than that we started to putting more resources into our platforms so more M&A business development resources into the platform and we also amped up the expectation around our general managers and their reasonability in M&A. And that has improved our pipeline. So if you look at what’s in our pipeline right now that we’re really excited about, its stuff that’s coming out of there, There are few auctions that we are looking at today that we like and do fit the definition I walked through before, but the things that we are still going to get at sub ten time EBITDA generally are going to be things that will have been working on year and are starting to get amped up because of the resources we put in place.
Matthew W. McConnell – Citi Investment Research.: Great thanks that’s very helpful.
Andrew K. Silvernail: You bet.
Matthew W. McConnell – Citi Investment Research.: And then just quickly, on the higher CapEx outlook: I think the trend we usually see is projects slipping out to the right, but I think you have increased your forecast a little bit. 
Andrew K. Silvernail: Yes.
Matthew W. McConnell – Citi Investment Research.: What is being prioritized there?
Andrew K. Silvernail: It’s what we call smart capital and it’s principally for new products and for productivity. And when I say it productivity I don’t mean just cost productivity, but also bringing lead times down. I visited probably30 plus sites this years as we've traveled around looking at businesses and we are really encouraging people as they are more deeply segmenting their product lines, we are really encouraging people to make smart capital investments in machining, as an example, where we know we are going to get quality benefits, we know we are going to get in lead time benefit. So that the laser cutter I mentioned for dispensing is a great example of that. Could we have managed the business without doing that? Yes, we could have done it, but it dropped lead time significantly, it took cost down and it improves quality and so we are seeing more and more of that and see I have talked a lot about that the strategic vision of this company and one of the things that I have said is we want to be the best specialty manufacturer of highly-engineering products in the world and to do that means you got to have a core capability around specialty manufacturing and that means being willing to make investments around driving that moat around the niche and so we are doing more and more of that.
Matthew W. McConnell – Citi Investment Research.: Great, sounds good. Thanks very much.
Andrew K. Silvernail: Thanks, Matt.
Operator: Thank you. Our next question is come from the line of Matt Summerville, KeyBanc Capital Markets. Please proceed with your question.
Matthew J. Summerville – KeyBanc Capital Markets Inc.: Good morning, just a couple of questions. First, on the internal investments you've been making over the last year or two, Andy, have you guys looked at what your vitality index would have looked like prior to making that incremental investment, and what it looks like now?
Andrew K. Silvernail: I am going to make myself unpopular with a lot of people in the world saying this. I really hate vitality indexes and the reason I do is that they are almost immeasurable and you can manipulate that measurement, I’ve seen it in so many companies and so it tends to be a self-aggrandizing measurement that never goes down. And so we don’t really look at that. what I look at is the new product pipeline business-by-business and that means when you go and you sit in, you know you go to Aegis and you go sit in Baton Rouge and you look at what’s on their pipeline, what’s coming out, you get a real strong sense of that and our operators get a strong sense of that. And then so that’s kind of one thing we look at and then from a real quantifiable objective, you’re going to see it in your organic growth rates, in our line of work you can’t beat the underlying markets by 200 or 300 basis points, unless you are getting 100 basis points or more from new products.
Matthew J. Summerville – KeyBanc Capital Markets Inc.: And then just the magnitude of – I'm curious; as you guys forecast your Q2 with respect to FMT and HST, I guess how much revenue in your mind did not show up in the second quarter, either because of inventory drawdown in the case of instrumentation or because of these Mideast-related project delays?
Andrew K. Silvernail: I don’t know Heath, what do you think somewhere between five and 10?
Heath A. Mitts: Between $5 million and $10 million I mean there are some specific things that we can point to that are ready to go that we either did not receive cash in advance or whatever the approval was to ship, but its somewhere in the $5 million to $7 million, maybe up to $10 million, it depends on how you want to qualify a couple of the shipments, but that was a meaningful number, I would say that specifically within FMT it would have moved us into the low single-digits of organic revenue growth. 
Matthew J. Summerville – KeyBanc Capital Markets Inc.: And then just lastly, Andy, you mentioned in your prepared remarks that you guys have done quite a bit of digging around in terms of market share in HST, and what is going on with your content, and things like that. I guess I'm curious as to what you can point to that gives you the confidence that there is not a market share issue that it is in fact inventory draw down or end of life programs. 
Andrew K. Silvernail: Yes. So you are really talking about Scientific Fluidics within HST and the nice part about where we sit in the supply chain as we have a lot of visibility to what's in development and we have a lot of visibility to what shipping. So, as an example, if you – we know how many units of instruments in almost any of the major lines of business have been shift in the quarter. And we know how much content we sold of that in the last few quarters. And so if you think of it is kind of two or three quarter cycle, we can estimate that pretty closely. And we look at the relationship between those two things, and if you saw the instrument number is going up and our number is not moving to the same degree, we know we are losing share right, when we can literally track it instrument-by-instrument. So that’s kind of one way of doing it. The second way is as we know what programs have been in development and are end development, and we know if we win them or lose them. And so from that perspective I feel real good about that. I do think – and we actually don’t behind, I know end market demand certainly did slow a little bit in the second quarter. And I think that the folks who are out there, we talked about this publically have said so also. And if I look again it our rates versus that and how much content we have you can see. And also the fact that we have electronic compounds and a lot of our customers, you can see kind of what’s going on.
Matthew J. Summerville – KeyBanc Capital Markets Inc.: Great, thanks for that color.
Andrew K. Silvernail: You bet.
Operator: Thank you. The next question is comes from the line of Scott Graham with Jefferies. Please proceed with your question.
R. Scott Graham – Jefferies LLC: Hey, good morning.
Andrew K. Silvernail: Hi, Scott.
R. Scott Graham – Jefferies LLC: The M&A commentary that you had at the top of the call – you indicated, Andy, you are close to the finish line, I don't know your exact words, but on five or six situations. Is this sort of the Aegis type of size? What segments are you maybe focused on most within that sort of funnel?
Andrew K. Silvernail: Yes. What I would say, Scott, is that they are in the latter stages of development meeting you’ve got either you’re about to get the letter of intent, or you are in that range that’s kind of the stage for us plus or minus. And I would say all of the ones that we are looking at today are bigger than Aegis, but they are not these are not $0.5 billion of things right. So, this one of the things we kind of look at each other and we had a staff meeting last week and were walking through our acquisition funnel and we looking each other, well why these are all things we can land, just it is the nature of kind of what’s going on out there. But that’s kind of the range and I think we’ve got a shot and closing some of this year. At the same time I’m not like, if not a little bit close this year wouldn’t shopping.
Scott Graham – Jefferies & Company: Fair enough. The second question is about your guidance, which I know you raised in excess of what you beat at least Street expectations by. I'm just wondering, though, if we look at the guidance, and we look at the second half of the year EPS, it looks like even at the high-end of your range, EPS in the third and fourth quarter looked like sub-10% EPS growth, and that would be something we haven't seen from you guys in a while. Are you holding something back there, Andy? Is there something that you are seeing out there that is bothering you? Is it a comp issue? All of the above? None of the above? Whatever you can help maybe that would be my second question.
Andrew K. Silvernail: Yes. I get your light, its just about 10% earnings growth for the back half of the year; we had a number of very strong discrete items in the first half of this year. And so if you just kind of look at second half versus first half we had a number of very strong discrete items. So I would say, the dispensing business is a big piece of it, the trailer business and fire was very strong. And you are just not going to see those two things happen and also as we look at the first part of 2015 that’s a reality that were going to comp against in the first part of 2015, because of some of those bigger things and we may fill those holes, and we may not by the nature of the businesses, but that’s really the biggest thing as I look at for the first half, second half. I don’t know Heath, your thoughts.
Heath A. Mitts: Yes, thanks Andy. The other piece Scott is that the high end of our range in obviously the implied Q4 numbers as you come into were somewhere between 10% and maybe it creeps up to 11%. The fourth quarter specifically as you recall we had an anomaly in our tax rate last year where in we were down at 25% due to some very specific discrete items that was booked and favorable to IDEX in the fourth quarter of 2013 that we do not predict will recur this year. So that in and of itself is part of the Q4 problem.
R. Scott Graham - Jefferies LLC: Yes, definitely. Your second-half last year tax rates were definitely lower, as well. Okay, that is great. Thanks a lot.
Andrew K. Silvernail: Thanks Scott.
Operator: Thank you. The next question is coming from line of Charley Brady with BMO Capital Markets. Please proceed with your question.
Charley D. Brady – BMO Capital Markets: All right. Thanks. Good morning, guys.
Andrew K. Silvernail: Good morning, Charley.
Charles Brady – BMO Capital Markets: If we could just look at the corporate expense line for a second, I think last quarter on the call you talked about it kind of bumped up in that first quarter, and the thinking was run that out, maybe slight discount from Q1 for the rest of the year. It's obviously well below $18 million this quarter. Was there something in this quarter that maybe got pushed out, and so it ought to take a bump up, and we make it up in Q3 or Q4?
Heath A. Mitts: Charlie this is Heath. There is while things that run through that acquisition related expenses and the timing of those things and as we talked about it on the call in the first quarter, we did accelerate some investments for some internal systems investments, some of that came in well below budget, some of that is a little bit of timing issue, but I would project that if you are modeling that you would model a little bit higher than what we ran in the second quarter we ran over – a little over 15 million I would predicted it somewhere in the 16.5 range for the third quarter and fourth quarter.
Charley D. Brady – BMO Capital Markets: Okay, that is helpful. Thanks. And Andy, I don't know if I missed it, but I don't think I heard you mention anything about Latin America. And I know it's not a huge piece to you guys, but anything going on down there for you?
Andrew K. Silvernail: It’s not a big piece of business for us. I would say that the biggest stop that we do in Latin America tends to be at our energy business and then rescue and then dispensing. Those are three places that we tend to have the most exposure. It’s a tough place to do business and for most of the businesses that we are in, the two largest economies Mexico and Brazil have pretty unique issues themselves. Brazil is just a tough place to do business unless you are very, very local and we’ve been working that problem for a long time but it’s kind of got what I will call the first world cost structure and the Third World problems and so it’s tough nut to crack and comes with more risk than we like it sometime we still work it. Mexico is a good piece of business for us to generally, but the service principally added the U.S.
Charley D. Brady – BMO Capital Markets: Right. Okay, thanks. And just one more on Aegis. Is your ongoing expense related to the deal, related to the acquisition – that is a headwind to margins going forward in the back half of this year? And maybe you can just talk about Aegis in terms of some of their revenue in geographic end market. Is it all U.S.? And as you look at that business – and I know it's a pretty small business kind of tucking in – but as you look at that, and you look at what you guys can invest in that; you talked about building something down in Texas, what kind of acceleration in growth of that business do you think you can get out of it over the next couple of years relative to where they have been prior to your ownership?
Heath A. Mitts: Why don't you tackle the cost side, and I will tackle the selling side? 
Charley D. Brady – BMO Capital Markets: Okay.
Andrew K. Silvernail: Yes Charlie we incurred about $0.5 million or so in the second quarter related to the purchase price accounting activity with Aegis and we got it another roughly $800,000 in this third quarter that’s baked into our FMT thinking in our overall guidance specifically related to the asset step ups and write-downs.
Heath A. Mitts: And on the growth side we think Aegis can grow very fast so the team there has done a wonderful job of building that business they got terrific niche products it’s a wonderful platform to bring our Richter product line into the U.S they are highly complementary product lines going into the similar industries where we don’t have as much market penetration as Aegis had. So I think it does help us and you can accelerate growth there, but still even if you’re growing to 20% you are only talking about $3 million or $4 million top line growth. Now that being said, I think that business can grow at those kinds of rates that’s our expectation of that business. And we’ve asked them to certainly accelerate some of the investments they are making, they are very high-touch business and if you are going to see where they are located in Baton Rouge I mean you can throw a rock and hit their customers and that’s a big piece of what their business is about and they service the Houston region, but they are servicing it from Baton Rouge and so getting right in Houston being right next to that next piece of the customer base will help them accelerate growth.
Charley D. Brady – BMO Capital Markets: All right great thanks guys.
Andrew K. Silvernail: Thanks.
Operator: Thank you. The next question is come from the line of Paul Knight with Janney Capital Markets. Please proceed with your question.
Paul R. Knight – Janney Montgomery Scott LLC: Andy, you had mentioned that you want to invest in China. Why is that? I love your color there and comment on Brazil.
Andrew K. Silvernail: Yes. I think when I look at the Chinese market its almost comical to think of how that commentary has changed in a couple of years and my view is one of a decade or more and the question is that should you be in those markets over the next 10-years? Are they going to have faster than global growth rates in the next 10-years or not? And I believe they are. The reality is though is that costs have gone up very substantially, you do have what I call is the overall political risk, but if I think about this, if you are willing to live with the volatility and you’re willing to be local that’s a place where business is going grow for us. We don’t have the same kind of risks that a lot of I’ll call it the OEM businesses have where the Chinese government is fundamentally investing in taking market share right, because we’re not at the kind of purchased points, we’re very high mix, very low volume, these are very difficult things to manage, they would rather build locomotives than they would build pumps to go on locomotives right. And so I feel comfortable that that will still be a business that’s good for us, albeit at materially different growth rate than we had two or three years ago, we’re growing 20%, 25% a year, I think its going to be a business that grows high singles to low double-digits for us.
Paul R. Knight – Janney Montgomery Scott LLC: The analytical instrument peers have indicated that bookings have approached as much as mid/upper teens in the second quarter, even though revenue was very weak to down. When would an analytical instrument cycle on orders for them translate into revenue for you?
Andrew K. Silvernail: You can see a 2-ish quarter GAAP depending upon how much inventory is in a channel. So, if inventories are correct I mean and I’m going to say inventory from them to us, right to the inventory between us that’s sitting in their shops. Just using a couple of quarter cycle that the only difference in that is a new product launch right, new product launch you’re going to see that’s ramp actually up ahead of them?
Paul R. Knight – Janney Capital Markets: Thank you very much.
Andrew K. Silvernail: You bet.
Operator: Thank you. The next question is comes from the line of Mark Douglas with Longbow Research. Please proceed with your question.
D. Mark Douglas – Longbow Research LLC: Hi, good morning gentlemen.
Andrew K. Silvernail: Hi, Mark.
D. Mark Douglas – Longbow Research LLC: Andy, can you talk to ag? How relevant is it to FMT? And what kind of headwind are you looking at? I mean if you look at some of the OEM equipment guys, they are talking about – there's potential for a double-digit decline, certainly by the end of the year. Are you seeing the same type of headwinds?
Andrew K. Silvernail: So, let me cut into two piece. So, Banjo is about 4% or 5% of IDEX plus or minus, so you can kind of back end from there. It’s a great business for us, we grew in the second quarter our expectations are that actual business is going to be modestly up in the second half, very modestly up. And really because of what’s you are seeing on the industrial side. So, again about 30% of that business is industrial and about 40% of the total business is aftermarket. So, let me kind of break this into the pieces kind of why it’s relevant. If you actually look at the Ag side, I’m going to call Ag OEM piece of the business that is clearly already suffering there is no doubt about that and we expect that to be negative in the second half of the year and we expect probably to be negative in the early part of 2015. So that the industrial side was really strong, very strong double digit growth and plus 20% east it’s just somewhere in that range. So that’s really what made up for. So, we are experiencing what the industry is experiencing on the Ag capital equipment piece of it, there is no doubt about it. Albeit somewhat offset by new products. So, Banjo there is good as we get – in this company new product development. So you’re seeing that help that a little bit. And then also typically in this industry when you see the OEM side go down we are actually see the aftermarket side expand, because people although then buying new sprayers they have to that they still have got to replace that and so all those things get on the market you tend to have a little bit higher replacement cycle.
D. Mark Douglas – Longbow Research LLC: Okay, that's very helpful. It is not the one-trick ag pony?
Andrew K. Silvernail: No, it’s definitely not and really, we went through our quarterly reviews here, last week, week before and as we’re talking to them, we’re having a very honest discussion about 2015, and their goal is to offset any declines and still get growth in 2015. And I love the enthusiasm and it’s not just a hope and a prayer, you see the new product development cycle, you see the new channel development and so they are working it and I also love the fact that they are not putting their head in the stand, they have seen it all year, we started talking with them in the first quarter about where this was going and be prepared for it.
D. Mark Douglas – Longbow Research LLC: Great. When you talked about transportation and BAND-IT, is that auto, truck, heavy truck, a combination of both?
Andrew K. Silvernail: It’s a combination. The stronger piece of the growth that we were seeing right now is really coming through some of the Tier-1 OEMs, because the business that we won several years ago right, and by the way we’re doing – we are only on really only one piece of one major OEM and so we’re trying to get on more platforms via those OEMs and we’re trying to get on other platforms. And as you might imagine these are for highly critical applications within auto and truck that you’re solving a very difficult fastening problem.
D. Mark Douglas – Longbow Research LLC: Okay, that is helpful. And then, finally, on this second-half growth expectations, I think you said last quarter you were thinking maybe 4% in the back half. It's probably closer to 5% now, Is that fair?
Andrew K. Silvernail: Yes. is that right Heath.
Heath A. Mitts: Yes, I’m the guidance for the year is 5% to 67% for the full-year and we are at 6% at the midpoint, so the math would tell you that where we need to be.
D. Mark Douglas – Longbow Research LLC: Okay. Thank you.
Andrew K. Silvernail: Thank you Mark.
Operator: Thank you. Our next question is coming from the line of Jim Giannakouros with Oppenheimer. Please proceed with your question.
Jim Giannakouros – Oppenheimer & Co., Inc.: Good morning guys.
Andrew K. Silvernail: Good morning Jim.
Jim Giannakouros – Oppenheimer & Co., Inc.: I had thought that you previously said the water muni market was thawing a bit, but today's comments were more about your teams just picking their spots more successfully, driving your results. Can you remind us or just give us your updated thoughts on what exactly you are seeing there? Is it the better budget backdrop that might be improving there for the second half and into 2015? Or you're just not seeing it yet, and it's more maintenance and smaller project type of spend?
Heath A. Mitts: It’s definitely, so what you’re seeing is you’re seeing some – a little bit pent-up demand on the maintenance side and on what I call the have to that you are still kind of required federally or locally to execute on, we’re seeing some money release there and we’ve been seeing it for a quite long-time now the number of RFQs increasing. So there has been positive sign there for a while, what I would say is really specifically to break our water business down. If you can look at two pieces that we are seeing really nice performance on. One which is the ADS side of it for them that the wins have come down to the strategic choice to focus on a very specific segment of the market but we think, we’re highly differentiated and they have aggressively moved sales, marketing and product development resources around on this very specific segment. And I won’t talk about it just because competitive nature of it, any further than that and we are seeing really nice wins out of there. And then if you look at – actually look at our iPEK brand which is based out of Austria it’s a new product development story. And so they have had – they took a serious of products that were getting I call them aged and expensive and they have brought it down to a single platform that has a better cost position and much better margin profile and vastly superior competitive profile and they have won a lot of nice business this year with that iPEK brand and so that’s been one of the best stories with an IDEX.
Jim Giannakouros – Oppenheimer & Co., Inc.: Got it. That's helpful. And I'm sorry if I missed it, but on the organic order growth that you saw in FSD. And you cited that rescue was particularly strong. Can you rank order, I guess, the drivers of that 17% number between the other sources of strength that you cited also, dispensing and BAND-IT?
Andrew K. Silvernail: Yes, rescue is definitely number one. That’s a pretty lumpy business. So if you think about that business you end up with a lot of book-and-term business out of small municipalities around the world right that’s kind of base business. And then you tend to get large orders from countries actually, so you will see as an example early last year you saw some really big chunks of business and year before coming out of China where they won large RFQs. This quarter it was a very large order out of the Middle East and so that was the big piece of the overall win. The second thing it really comes down to BAND-IT very, very strong order growth, there you wouldn’t put it one thing except for the auto piece that I talked about, but they were stronger really across their business and so by the way that’s a good sign BAND-IT is one of our – one of the bellwethers that we look at for overall main it was stronger in the U.S but it is global too, but kind of what’s happening in the underlying economy that’s a good sign there. And then I would say that dispensing was also pretty solid from an order perspective. From a sales perspective -- actually, from the sales perspective it was fire. So fire these are orders that we got a quarter or two quarters ago for the trailers and that was really the strongest piece of that and then dispensing still had pretty strong sales growth right so weren’t going to comping against a big piece of business, but a pretty nice business on there. Jim. Operator?
Operator: Thank you. We’ll move on to the next question which is coming from the line of Joe Giordano with Cowen and Company. Please proceed with your question.
Joseph Giordano – Cowen and Company, LLC: Hi, guys thanks for taking the call.
Andrew K. Silvernail: Hey Joe.
Joseph Giordano – Cowen and Company, LLC: Just a couple of questions. First, on the diversified segment, we touched on it before. Last quarter you called out the big dispensing order, and this quarter your strength in rescue, and things like that. Is this kind of like – should we stop being surprised by whether it is strength in dispensing, or whether it is something else? Is this like a run rate that we should start thinking about for this segment?
Heath A. Mitts: It’s a little high and these are again these are pretty discrete things right you can put your finger on something discrete and in the last two or three quarters like you know in the last four quarters we've had a number of these things, but also it can go the other way on you and so you know I think its been abnormally strong, but this is the one part of our business that’s more lumpy and that’s just vitality and we don’t have a lot of lumpiness and we've had a lot of things go our way here for the last year.
Joseph Giordano – Cowen and Company, LLC: Okay. And maybe on Aegis, I know you get a little more visibility now into those Gulf chemical projects as a result. I’m Just curious -- I'm guessing most of the offerings there are more somewhat on the shorter cycle, but what are you seeing in terms of some of the longer-cycle products going into those facilities, even if it's not stuff that you are specifically on, but as a leading indicator to how it would be for how the projects are moving in general, and as it was leading for you guys?
Heath A. Mitts: So from there where we would look is we kind of look in three places, we would look at Viking business, we look at the new programs that are coming through Aegis and therefore kind of what we’re seen at rector too, so we’ve got a pretty good view on where demand is going to go and its going to be strong right I think you’re going to see a pretty strong cycle here for the foreseeable future probably kicking in mostly and as we get into the next year. 
Joseph Giordano – Cowen and Company, LLC: Okay. I appreciate it guys. Thanks a lot.
Heath A. Mitts: You bet Joe. 
Operator: Thank you. Our final question for today is come from the line of Walter Liptak with Global Hunter Securities. Please proceed with your question.
Walter S. Liptak - Global Hunter Securities, LLC: Hi, thanks good morning guys. I made the cut. There is a question that you kind of got close to answering that I wanted to ask about: just the revenue growth. You mentioned the organic is 6% year-to-date; your orders were up 7%; and then the organic guide is 5% to 6%. Can you just address that?
Heath A. Mitts: Well, we are break into couple of pieces. Once orders were up – were sales were up 6% year-to-date. Right orders were up 7% in the quarter. So, you are kind of break that and make sure we put those in the right buckets. And we think that the back half of the year kind of looks pretty similar into the first half in terms of overall sales growth in that 5% to 6%.
Walter S. Liptak – Global Hunter Securities, LLC: Okay. It implies a little bit of deceleration. I guess is that on a tough comp, or is it because of FMT?
Andrew K. Silvernail: Well, as part of it Walter of course one of that in Q1, we get the large dispensing order that had a significant impact on the Q1 numbers that obviously the big quarters is not recur in the second half.
Heath A. Mitts: Yeah we did what 9% organic sales growth – 8% of the sales growth in the first quarter or in the second. It’s just the fixed and we think that kind of levels to step out here in the back half.
Jim Giannakouros – Oppenheimer & Co., Inc.: Okay, got it. And on the FMT part of the business, I'm wondering a little bit about how you get – how does it get communicated to IDEX when projects push to the right? Is it through distributors? Or is it through E&Cs and these chemical and energy projects that have just pushed a little bit?
Andrew K. Silvernail: You kind of gets broken it into a couple of buckets. One is somebody is delaying the actual receipt and that’s going to be expensive to builder it’s right. So, if E&C is doing it terrific, if it’s being done buy, if it’s a more book in term piece of business for large big piece it may come directly from the distributor or customer. Other side is people who we have some a meaningful amount of cash, cash in advance and if we don’t get it, we don’t ship it and that’s the nature of it. So, we saw a little bit of both in the second quarter.
Jim Giannakouros – Oppenheimer & Co., Inc.: Okay. I guess the question is: what is your visibility on the pickup or the turn as these projects start getting released? I'm hearing you say 2015?
Andrew K. Silvernail: It’s pretty good, we know what’s being build generally we know what the build schedules are and we generally know where we fall into that build schedule and so you can sometimes you can't even pick the month. Generally you can pick the quarter, when you think it’s going to happen. And when they’re delays you tend to see that pretty quickly. We are far enough down in the chain that we are not the first – we are not the first person notified. but we are also not the first person going in. So, we tend to get visibility relatively early, when we’re “surprise” it’s were something was scheduled to shift late in the quarter and you find out week two, week three that something is an example isn’t going to pay, that not going to pay in this quarter. And so that’s where we kind to get “surprised”. And that doesn’t happen very often, but in those businesses where you do have some relatively large programs and we’re talking about programs that are $1 million to $5 million, we’re not talking about programs that are $10 million or $20 million, so take it for the size of its work. Pretty unusual but it does happened.
Walter S. Liptak – Global Hunter Securities, LLC: Okay, got it. Okay thanks for the color.
Andrew K. Silvernail: Thanks Walter.
Operator: Thank ladies and gentlemen we have reach the end of our question-and-answer session, I would now like to the floor back over to management for any additional concluding comments.
Andrew K. Silvernail: Jessie, thank you very much. And thank you everybody for joining us on the call today. Obviously, we’re very happy with our results and we feel very, very good about our repositioning and mostly and throughout for the team, they’ve done a great job that the leaders at IDEX all the people within IDEX have done a very, very nice job of again make in our own luck and performing for our customers and performing for our owner, but also really performing for the teammates and I think it’s nice estimate to the culture. So thank you all very much and we will talk to you soon. Take care.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. And you may disconnect your lines at this time.